Operator: Good day, and welcome to the QuinStreet First Quarter Fiscal 2021 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Erica Abrams. Please go ahead, ma'am.
Erica Abrams: Thank you, Dan. Good afternoon, ladies and gentlemen. Thank you for joining us today as we report QuinStreet's first quarter of Fiscal Year 2021 financial results. Joining me on the call today are Doug Valenti, CEO; and Greg Wong, CFO, of QuinStreet. This call is being simultaneously webcast on the Investor Relations section of our website, at www.quinstreet.com. Before we get started, I would like to remind you that the following discussion contains forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those projected by such statements and are not guarantees of future performance. Factors that may cause results to differ from our forward-looking statements are discussed in our recent SEC filings, including our most recent 8-K filing made today and our 10-K filing made on August 28, 2020. Forward-looking statements are based on assumptions as of today, and the Company undertakes no obligation to update these statements. Today, we will be discussing both GAAP and non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures are included in today's earnings press release, which is available on our Investor Relations website. With that, I will turn the call over to Doug, CEO of QuinStreet. Please go ahead.
Doug Valenti: Thank you, Erica, and thank you all for joining us today. Fiscal Q1 was a good quarter for the Company. We made excellent progress on a wide range of short- and long-term growth initiatives in our core Financial Services and Home Services client verticals, and we continue to strengthen our products, technologies and operations for future growth, competitive advantage and efficiencies. Our tailwinds are strong. The slope of the curve of marketing budgets shifting online is steepening, while market demand for our core performance marketplace solutions has also accelerated. Our solutions are ever more recognized by the most advanced clients as their most productive and consistent digital marketing channels at scale. We delivered strong results in Q1, particularly in Insurance and Home Services, our two largest businesses. Auto Insurance revenue growth continued to accelerate, reaching 57% year-over-year due to unprecedented and broadening demand from clients and to good progress with growth initiatives. We continued to make good progress with QRP in the quarter, both with the agency client pipeline and with more and deeper carrier integrations. QRP continues to promise to be one of the most exciting long-term business opportunities in the history of the Company. With a strong value proposition for agency clients and carriers and with big scale and SaaS-like margins for QuinStreet, it is an opportunity uniquely suited and defensible for QuinStreet due to our deep integrations with carriers and our industry-leading technology capabilities. This opportunity is long-term, deep and sticky. QRP is a core operating platform for agency clients and carriers. Current QRP activity is dominated by integrations and testing. We are receiving strong positive feedback on early testing and usage activity from launched clients. And revenue, too, continues to ramp but for now remains immaterial to overall company results. Home Services grew even faster than Auto Insurance due to the addition of Modernize. We delivered strong results there, stronger results there than expected, due to the successful execution of growth initiatives and to ahead-of-schedule integration and capturing of synergies with Modernize. Trends in credit-driven businesses, specifically personal loans and credit cards, stabilized and improved in Fiscal Q1. I really like our position in those enormous markets as the economy improves. For now, I see them as stabilized, future growth engines, highly synergistic with Insurance and Home Services. As previously announced, we divested the Education client vertical on August 31 as another step in our strategy to narrow our footprint to our best opportunities and to accelerate revenue growth and margin expansion. Looking ahead to the current quarter, or Fiscal Q2, we expect continued strong momentum and revenue growth in Insurance and Home Services and continued strong overall company performance as a result. We currently expect revenue in Fiscal Q2 to be between $118 million and $122 million, at least in line with or beating typical seasonality and representing 21% year-over-year revenue growth from nondivested businesses at the midpoint of the range. We expect adjusted EBITDA margin to be in the mid-single digits, reflecting only typical seasonal fluctuation. With that, I'll turn the call over to Greg.
Greg Wong: Thank you, Doug. Hello, and thanks to everyone for joining us today. Q1 was a strong start to Fiscal '21, where we delivered record revenue while continuing to operate in a COVID-19-impacted environment. For the first quarter, total revenue was $139.3 million. Also importantly, we made good progress with our strategic initiative to narrow our footprint to our best-performing and fastest-growing opportunities, divesting the Education client vertical on August 31. Revenue from non-divested businesses, our go-forward client vertical footprint, was $127.6 million in the first quarter, representing 23% year-over-year growth. Adjusted EBITDA grew 32% year-over-year in the first quarter, to $12.5 million, or 9% of revenue. Adjusted net income grew 42% year-over-year, to $8.8 million, or $0.16 per share. Looking at revenue by client vertical, our Financial Services client vertical represented 68% of Q1 revenue and was $94.2 million. Auto Insurance, our largest business, delivered record revenue and grew at 57% year-over-year. This growth reflects strong spending from a broad range of major carrier clients and excellent progress on a number of growth initiatives in the quarter. Trends in our credit-driven personal loans and credit cards businesses stabilized and improved in Fiscal Q1. We expect these businesses to be good, long-term growth drivers for QuinStreet as the economy improves. Our Home Services client vertical represented 24% of Q1 revenue and grew at 157% year-over-year, to $33.4 million, a record quarter for that business. As a reminder, on July 1 we acquired Modernize to add to our scale and capabilities in Home Services. Total organic year-over-year growth in Home Services client vertical was 14% in the first quarter. Sequential growth in Home Services was 33% on an organic basis, outpacing our expectations in the first quarter and demonstrating the early success of the integration and capturing of synergies from the Modernize acquisition. Our Education client vertical represented the remaining 8% of Q1 revenue. Adjusted EBITDA in the quarter grew at 32% year-over-year, to $12.5 million, or 9% of revenue. Turning to the balance sheet, we closed the quarter with $102.2 million of cash and equivalents. We began the quarter with $107.5 million in cash. Big cash movements in the quarter included the generation of $17.6 million in operating cash flow and $20 million from the sale of our Education business. This was offset by a cash outflow of $40 million for the acquisition of Modernize. Normalized free cash flow for the quarter was $10.4 million, or 8% of revenue. Most of our adjusted EBITDA drops to normalized free cash flow due to the low capital requirements of our business model. I would like to remind everyone of the seasonality characteristics in our business. The December quarter, our fiscal second quarter, is typically impacted by the holidays due to client staffing and budgets and due to consumer shopping patterns. These factors generally reverse in the March quarter, which is typically our strongest quarter of the year, where we see our clients with new annual marketing budgets and fully staffed employee levels. With that as context, looking at our outlook we expect Q2 revenue to be between $118 million and $122 million, at least in line with or beating typical seasonality and representing 21% year-over-year growth from nondivested businesses at the midpoint of the range. We expect adjusted EBITDA margin to be in the mid-single digits, reflecting only typical seasonal fluctuation. In summary, the first quarter marks a record start to Fiscal Year '21. We are happy with our financial performance in Insurance and Home Services and are encouraged by the early recovery of our credit-driven businesses. This has all resulted in us once again beating our expectations and outlook for the quarter. Going forward, we are excited about our business, especially given our success in narrowing the footprint and increasing our focus to the best-performing and fastest-growing opportunities. Trailing 12-month revenue from our go-forward client vertical footprint of Financial Services and Home Services was $439.9 million, representing a 3-year compound annual growth rate of 32%. We are well on our way to faster, more predictable revenue growth and expanding margins with little to no loss of scale. Fiscal Year '21 is likely to be a record revenue year for the Company. With that, I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] We'll take our first question in queue. This comes from John Campbell with Stephens Inc. Your line is open. Please go ahead.
John Campbell: Talk to us a little bit about the strategic alliance with NerdWallet. That seemed like a really interesting announcement for you guys. Is that a multiyear agreement? And then maybe if you guys could talk to what you're doing now versus what you've kind of been up to with those guys over the last two years.
Doug Valenti: It is a multiyear agreement. We're just deepening the relationships. We can both work more aggressively on joint optimization and joint programs. We're super excited about it. They are an incredibly high-quality organization, a very high-quality media, a great customer and consumer following, really a consumer advocate, and we're excited to help them run insurance and get the right matching technologies and marketplace going for insurance and probably adding other lines as well.
John Campbell: Okay. That's helpful. And then, Greg, I saw you kind of slip in the last minute there possibly looking for a record revenue year this year. Clearly, you guys have done a ton of divestitures over the last several months. So it seems like just given those divestitures, a record year would be a really good result for you guys this year. If you could just maybe just help us with the math a little bit. I don't know if you've got it on hand, but kind of what you guys did ex-divestitures in revenue by quarter last year or maybe all-in to just give us a sense for how much the divestitures are impacting. And then as we think about the year-over-year growth each quarter from here, trying to get to the right comp for next year.
Greg Wong: John, last year, revenue excluding the divested businesses, so from the go-forward footprint right now, that was about $420 million for the full year.
John Campbell: Okay. And I don't know if you've got this on hand. Do you have it by quarter? I'm just trying to get to, like, an apples-to-apples growth rate, going forward.
Greg Wong: Q2 was about a little over $99 million, in the December quarter. Q3 was $110 million. And Q4 was about $103 million.
John Campbell: Okay. Very helpful. Last one, a quick one, for me. On the gross margin leverage, that was clearly there this quarter. Was that solely just a product of the total revenue growth? Or is there any kind of mix shift items to call out? It looks like you had obviously less Education revenue, less credit businesses and then a lot more of Home Services.
Greg Wong: The biggest piece, John, was really the top line leverage. So we're growing the top line on a very similar fixed cost base. But we did also see expansion in our media margins in the quarter. So we did a good job at yielding more of the media.
Operator: Our next question comes from Jason Kreyer with Craig-Hallum. Your line is open. Please go ahead.
Jason Kreyer: Congrats on the not only strong quarter, but the heavy lifting you've been doing. First, just wanted to talk, like, can you walk through any surprises you saw in the quarter? Obviously, you outperformed your original guidance pretty handily. So just wondering where you saw the pockets of outperformance emerge over the course of the last 90 days.
Doug Valenti: Sure. The first, our biggest business, Auto Insurance, the momentum there and the breadth of the momentum there with clients was really unprecedented and surprised even us, and we're pretty big optimists and enthusiasts about our position in the Auto Insurance market, as you know. And it just keeps getting better. More and more clients accelerating the shift to budget online, as I indicated, and more and more of them wanting to do more with us because we've worked with them for so long and performed so well for them and a number of them have pointed out that we are by far and away their best performer at any scale. And so we have a queue of clients with big budget increases that has been pushing up our momentum and the slope of that line in Insurance over the past couple of quarters. And that, as we look forward, it's just accelerating. On top of that, in Insurance, we've made -- we've been working on a lot of new growth initiatives there: product expansions, media expansions. And a number of those inflected, began to inflect last quarter and continue to inflect this quarter. And that's been, that's always a pleasant surprise. You don't know how to -- you can't always project those or forecast them accurately. So those things went better than we thought, both the momentum on the core business, core click marketplace business in Auto Insurance, as well as the progress and the slope of the curves in terms of progress on some of the new growth initiatives in Insurance. In the Modernize acquisition in Home Services, we just pretty substantially beat our timing on the integration and our timing on a number of the projects to capture synergies. And so that business not only did a lot better -- Home Services, over all, as a result of that in the quarter; that was a good upside surprise. But we've already lifted our full year outlook and targets for that business pretty significantly on the backs of that. So Home Services is a massive market and the Modernize acquisition has been even better than we thought, faster than we thought. And so as we look ahead on that, that continues to be something that gets us excited. And as I said, we've already lifted our full year targets pretty substantially, and we way outperformed where we thought we would be this quickly last quarter. I would say another upside surprise continues to be the work on QRP. The pipeline work with the -- the pipeline just keeps getting stronger. The work with the clients, both signed and launched, and others continues to go incredibly well. The work with the carriers to do more integrations. They've committed some carriers to give us more complete quote-to-buy integrations as well as we've already had a couple of product expansions. Some major carriers have asked us and are now working with us on a real big use case expansion to QRP, which we had not really thought about but pretty dramatically expands the market even beyond where we thought it was. The carrier commitment to QRP is just astonishing in terms of how hard they're pushing with us and how they're helping develop the market and work on these product expansions with us and how committed they are to the product. So just an awful lot of good stuff and I guess the last thing that went better than we expected was the credit-driven businesses both pretty quickly stabilized and began to grow again for us, off the bottom. So they are certainly still down quite a bit year-over-year due to COVID and the economy, but we found the bottom pretty quickly there and bounced off of it pretty hard, which is -- and most of the big credit card issuers are now back in the market, albeit with tighter filters and smaller budgets as they feel their way through the uncertainty in the economy. And a number of the personal loan lenders are coming back; I wouldn't say are back yet. But we were able to execute very well on the other products in that business, including helping consumers with their credit issues and credit repair and services like that, that we pivoted to, and those went very well. So I think just across the board it was a very, very good quarter, and we've got a lot of momentum going into the rest of the fiscal year.
Jason Kreyer: A couple of times now you've mentioned new growth initiatives in the Auto Insurance category. I know it seems like you've been having success with new products not only for carriers, but targeting the agent community. I don't know if that's kind of part of these new initiatives you're talking about or if there's maybe any other call-outs you could give us, some more details on these new initiatives you're pursuing.
Doug Valenti: It's broadening the product mix so that we can -- we really have not historically -- most of the folks we compete with, most, not all, dominantly serve the agent networks. And we have not really had a product for agents historically. And of course, now we have QRP, but that's not something that competes with our other historic players. It's a brand-new technology, a SaaS opportunity there. But we have introduced a product and products into that market in that business, and the expansion of that product is going very well. So yes, shifting and being able to serve with our marketplace and performance marketing output. The other half of the Insurance market, which is the agent networks, is a big part of the growth initiatives that we're working on. But there are a number of others as we roll through product improvements and as we consolidated functionally our marketplace team and began to focus those folks and our algorithms teams kind of media partner by media partner, client by client. Those products, I refer to them as products or growth initiatives, are going extraordinarily well. So it's kind of meat and potatoes with QuinStreet, but there are things that really do move the needle. It's not unusual for us to improve the performance for a carrier client by 30% when we apply those initiatives, and that marketplace team is now staffed and coming up to speed, and we're adding more staff. So it's bread and butter algorithm stuff, bread and butter analytics and optimization products for the various clients and for our media partners. And it's also getting into whole new segments of the market, including serving the agent networks. Those are some of the -- and there's an even longer list. One of the reasons we consolidated was that we have so much opportunity in these businesses that we kept that it just didn't make sense to have our resources spread into other areas. We have plenty of great, big opportunities in the markets that we kept.
Operator: Our next question comes from Jim Goss with Barrington Research. Please go ahead.
Jim Goss: Maybe continuing along the theme you were just talking about, Doug, with QRP, do you regard it as an opportunity more outside of the group you're currently dealing with or within them to the extent they have direct sales versus agent groups within them? Or is it a little of both? Because it would seem like the SaaS version is going to maybe help you broaden your overall business, but it might also be involved in some of the same areas you're already currently involved with company wise.
Doug Valenti: You're right, Jim. It is both. We talk a lot about the agency clients, and of course we have not historically done much by way of business with the agent or agency networks side of the insurance world. And so that's an important client expansion opportunity for us in QRP. The core of QRP is working with the independent agent world, which is the biggest part of the agent industry, to have a much more efficient and productive and managed quoting platform. And so serving agencies and agents, which is a new segment of customers for us, is a big part of what we do with QRP and is the core of the QRP opportunity. That said, to your point, the quoting platform is only as good as the carriers you have on there. And we have -- it deepens our integrations and the work we're doing with a number of the major carriers that serve that channel as we integrate with them and bring their quoting all the way to bind into the agent networks and then add other services on top of that. And also, we have -- there are carriers who want to use QRP internally for efficiency reasons and productivity reasons. And so we're -- so it does add to what we can do with our historic core client base, which are of course the carriers themselves, not the agent networks. So it's both.
Jim Goss: And SaaS businesses tend to be stable and high-margin. So maybe the impact on your business would be to add less to revenue but more to the overall profit. So it would seem to muddy up the financials a little, though in a positive way. Do you think you'd try to account for it as a separate category. Just to be clear?
Doug Valenti: It's a great question, an appropriate question. We just haven't gotten that far yet in terms of exactly how to do that to make sure that it -- to your point, if we just blend it in, that's going to make it pretty difficult to tell what's going on, and that's not our intention. So I think it will probably be that we will wait until it gets to scale enough to warrant it and then make the decision as to how to report it. But as it gets, when it gets to good scale it's going to be difficult to just keep it mixed in and blend it in. That doesn't -- I don't think that will show a true picture. In the early days, of course, it doesn't make sense to break it out for lots of reasons, including the fact that it's an early-stage business and it's got a lot of uncertainty. We know the pipeline is going well. We know the work with the clients is going well. We know the product is working. And we just -- but in terms of, I've said this at length over two years, the exact ramp of revenue is very difficult to know because we just haven't done it before. And this is a core operating platform for these agencies. So they're not going to just turn it on. They're going to implement it. They're going to test it. They're going to roll it out to a few agents for a couple of months. Then they're going to have that. They're going to have feedback; that's going to work. Then they'll roll it out. So tracking it separately in its early stages just doesn't make sense for the business and doesn't make sense for the investors. That's why I thought it was important to make sure everybody knew that the leverage that we got last quarter came from our core business, not from QRP. QRP continued to be immaterial to the overall business results last quarter. The leverage you saw in margin was all about the core business, and that was all about the mix of business and the scale and the efficiencies, despite the fact that during COVID we have not rationalized the way we would normally have rationalized given all of the divestitures we made. And so we are now showing and we will continue to demonstrate that we can scale from here, as Greg said. I think it's easy to make the case that we'll likely have record revenue here this fiscal year if you just do the quick math. And what we expect to happen is that we'll be able to scale much more quickly and that that scale will much more quickly drop to the bottom line from here, just like we showed it can do last quarter. Even though last quarter was a little bit of a hybrid in terms of having some divested businesses in it, you can at least see the effects because the core economics were about the same.
Jim Goss: Okay. And just one more, along similar lines, regarding the EBITDA margin profile you're targeting. You haven't really broken out an EBITDA margin by major category. And now Education has gone. So we basically have two major categories. Can you distinguish between Financial Services and Home Services in terms of the relative margin profile so that as we're modeling the revenue changes we can also get some mental thought about how it would impact the bottom line and the profit margin potential?
Doug Valenti: I don't know that we're going to do that, given that there are so many shared resources between those businesses. It's very difficult for us to bring any of our client verticals down to their own profit margins because most of the core resources are shared. The core media resources, core technology resources, the actual technology platform are all shared costs. And so we'd have to go through a big exercise of allocating costs, which would basically bring you right back to how we report it today. But I can tell you from a contribution margin standpoint, because I know we've had these conversations with investors as well as analysts, they're all in a pretty tight range. The contribution margin to core functionality of our various businesses are very similar. We get there in Auto Insurance with scale and a little bit lower media margin because it's dominantly a clicks business which has less burden at the business line level than, let's say, a leads-driven business. And then in the Home Services business, we get there a little bit higher media margin, but more burden operationally because of the fact that it's a more diverse business and it's dominantly a leads business, which tends to need more headcount. So on a contribution basis they're pretty similar, and we tend to indicate what those are periodically. But in terms of breaking them out as segments, no, we wouldn't intend to do that. It would be difficult and misleading given the way we run the business, which is with the vast majority of the headcount costs are shared costs in the core business and engineering, media are the big ones. So probably not.
Jim Goss: Okay. I think you gave some helpful differentiation with the answer you just gave. So thank you very much. Appreciate it.
Operator: Our next question comes from Ryan Meyers with Lake Street Capital Markets. Your line is open. Please go ahead.
Ryan Meyers: First one for me. So if I recall, on the last call you guys stated that you expected to see meaningful revenue from the QRP platform. Any reason why that wasn't the case this quarter?
Doug Valenti: We did see good revenue growth from QRP. I guess it would depend on how you define "meaningful" I think I said last quarter, too, that we were starting out at, like, zero. So we actually expected to see revenue that wasn't kind of single-digit dollars in the quarter. And we did see good revenue ramp, and we did see good revenue from QRP. We just didn't see revenue that's -- we're running at almost $500 million a year in revenue. And so relative to the overall company, QRP revenue is immaterial at this point. It will probably continue to be so for the next, I don't know, again a couple to a few quarters. I say "again," because I'm not going to get in the business of forecasting QRP because I don't know how, as I've said before. But we did see good significant upward-moving revenue. We actually do have revenue that at least matters in QRP now. It's just immaterial to the overall company in terms of its scale.
Ryan Meyers: Okay. That's helpful. And then just one more for me. So what sort of trends are you guys seeing so far in the second quarter in personal loans and credit cards? And then have you factored in conservatism or upside in the guidance for that?
Doug Valenti: Great question, particularly with what's going on with the second wave in that. We have pretty -- we see continued stability and gradual improvement in personal loans and credit cards so far this quarter. We have seen much more of a positive inflection in credit cards so far this quarter than we saw last quarter. And we see continued good progress in personal loans, which we did see last quarter. And so I would say that the trends continue to be generally up and to the right, but nowhere near the point where they're going to get back to where they were a year ago. So it's stable and improving gradually, but still down. Over all, the two verticals are down, Greg, probably 50-plus percent still, 60%, over all?
Greg Wong: Yes, in the first quarter they were down 60%.
Doug Valenti: So, still way down, but up and to the right from where they were. And to your point, Ryan, we have been quite conservative in the way we think about them for this quarter, and they could reverse on us pretty significantly from here and we would still be very comfortable with what we provided as our outlook for Q2.
Operator: [Operator Instructions] We'll take our next question in queue. This comes from Chris Sakai with Singular Research. Please go ahead.
Joichi Sakai: Just wanted to get, I guess, a macro view on Auto Insurance, what's going on and what was leading to such great growth.
Doug Valenti: Chris, it's a combination of factors. One is that with COVID there's a lot less driving. And so the auto insurance carriers are much more profitable than they would be. With less driving there are fewer incidents, fewer payouts. So they have a lot more money to very comfortably and aggressively spend on marketing, generally, not just on the Internet. But generally, it's been on marketing. So the auto insurance carriers themselves are quite healthy in this period. That has led to, among other things, not just an increase in marketing generally, but a more aggressive shift to budget to online. Because the other thing that's happening with COVID is that folks are spending more time online and on streaming and less time on other traditional marketing channels. Let me use an extreme case. They're not listening to drive-time radio. So that budget is something that gets allocated elsewhere, and most of the "elsewhere" is coming online. There's not as much fresh sports content as there was pre-COVID. And so there's less inventory to spend marketing budgets there. So a lot of that budget is coming online. So it's caused carriers to turn their attention with these marketing budgets more to online. And as they've done that, what we have seen is carriers are making very fundamental shifts and saying, "We've been wanting to shift online faster for a long time. This is a very natural spur to do that." And we're seeing them make shifts that we expect to be permanent. We don't expect that they're going to flop right back offline again. In fact, we've never seen the phenomenon of clients going from our solutions and shifting that budget back offline. That's never been anything we've seen, generally. I don't know if we've even seen it specifically, even in off cases. So most of the moves we're seeing are pretty permanent shifts, and this COVID has been something that's just kind of spurred it. And so we've got a lot of budget seeking to not only go online because that's where the action is now and where you can get productivity now, but also seeking to make a more permanent shift to digital and use this as an opportunity to be more digitally oriented and to put the systems and the integrations and the other factors in place that they may have been putting off. But now they have the reason and motivation to do it, and that's getting done. So it's -- and then the last thing I would add, and I don't add it last because it's the least, but I would say that we're getting to the point in our channel where there's been so much success for some of these most successful carriers that a lot of the other carriers are finally saying, on top of everything I just said about reasons to do it, "Now is our opportunity to try to play a little bit of catch-up." Because the guys, the big carriers that went more aggressively and have more budget in digital, particularly in our part of the channel, are performing much better, generally speaking, than carriers that haven't. And so you're seeing some capitulation associated with the fact that you've got this moment in time where they're being spurred to do it anyway. So it's an interesting confluence of a lot of different things, but we think a very positive permanent shift and long-term inflection as we now are seeing. From carriers that over the past couple of quarters have begun that shift, we're seeing pretty dramatic increases in their appetite and demand as they now are set up to do digital better and as they're starting to get a taste of what we can do for them from a performance standpoint.
Joichi Sakai: Okay. Great. One thing, if it's not Auto Insurance, do you see this type of growth in any of your other -- well, I guess, Home Services? Is that the other sector segment that has this type of growth?
Doug Valenti: Insurance, generally, we're seeing quite strong growth. Auto Insurance is the biggest part of our Insurance business, vast majority of it, and it is the strongest, but we're seeing very strong growth right now in a couple of other lines of Insurance, a few other lines of Insurance: home, health and Medicare as well as life, areas that we have not historically been nearly as well represented as we should have been and areas that are much bigger for a number of our competitors or folks that also participate in our part of the channel. And so we are seeing good growth, broadly, in Insurance. And as you indicated, Home Services is going great and growing very quickly. We expect that to continue even after we lap the Modernize acquisition. As I said, that integration and the synergies capture and the organic growth off of those two assets has accelerated. We expect that to continue. The latest survey of homeowners indicated that despite the fact that we expect Home Services to be quite seasonal, usually it gets softer in November, December, most homeowners because they're not traveling during the holidays are planning to continue or add home services projects during November and December. So we could see a stronger November and December than we anticipate in Home Services, given there's also that survey and again the environment that we're in. In terms of -- we had great growth rates in credit cards and personal loans before COVID. We are of course down there, like everybody is in those verticals, during COVID because the credit-driven businesses are impacted by the weak economy and the high unemployment and the uncertainties associated with those. I love our positioning as the economy comes back, and it will. And those businesses, once we either lap the initial COVID effect and/or as the economy comes back, those businesses will add very significantly to scale and growth, just getting back to where we were. And we've made a lot of preparations and improvements, and I think we can do much better than that as we come back. And right now, they're not contributing anything to our growth. So all you're seeing in terms of growth and leverage is with personal loans and credit cards on their faces as businesses, again as they are for everybody. So those businesses I expect to be great growth drivers again in the not-too-distant future. So yes, we like the footprint. As Greg said, if you look at the footprint that we're in the growth rate is north of 30% on a three-year compound basis. And the two businesses that aren't directly COVID-impacted, Auto Insurance and Home Services, are doing very well. And the other two businesses, personal loans and credit cards, are quite stable. And again, I expect them to rescale and/or we'll lap it. And as we do, you'll see pretty dramatic inflection up and to the right in our growth rate.
Operator: There are no more questions at this time. To access the replay for this call, you can dial the toll-free number, 1 (888) 203-1112 or the toll number, 1 (719) 457-0820, and enter the pass code of 7998563. Again, that is 7998563 for the pass code. Thank you, ladies and gentlemen. This concludes today's presentation. You may now disconnect.